Operator: Welcome to MasTec's First Quarter 2012 Earnings Conference Call, initially broadcast on May 4, 2012. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis: Thanks, Elisa. Good morning, everyone. Welcome to MasTec's First Quarter Earnings Conference Call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec’s future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based upon subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize, or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's call, we may discuss certain adjusted financial metrics or use non-GAAP financial measures in our analyses. A reconciliation of any and all adjusted financial metrics or non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release, our SEC filings or on the Investor Relations section of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose, followed by a financial review from Bob. These discussions will be followed by a Q&A period, and we expect the call to last for about 60 minutes. We have a lot of great things to talk about today, so I'd now like to turn the call over to Jose. Jose?
Jose Ramon Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2012 First Quarter Call. Today, I will be reviewing our first quarter results, as well as providing my outlook for the markets we serve. First, some first quarter highlights. Revenue for the quarter was $778 million, a 26% increase over the prior year's first quarter. Net income was $14.2 million. EBITDA was $53 million, and EBITDA margin was 6.9%. Earnings per share was $0.17, and cash flow from operations was $43 million. In summary, we had a strong start to the year. We performed better than expected and enjoyed broad-based revenue growth. Revenue was up $160 million compared to last year's first quarter, despite having had the benefit of a $122 million of revenue associated with the Ruby pipeline in last year's first quarter. As expected, margins were negatively impacted by our work associated with a couple of pipeline jobs and a slower start on our wireless projects. As we look at the balance of 2012, our backlog is strong, and we have excellent visibility into future revenues. We expect utilization to increase and margins to improve as the year progresses. We are focused on improving margins, especially as we complete our challenging projects in the Marcellus region and as wireless spending begins to aggressively ramp up. Today, more than ever, I believe MasTec's diversified business model is our key differentiator and one that has helped drive our success. Today, we serve numerous markets and industries that we believe have solid long-term fundamentals with significant opportunities for expansion and growth. We strongly believe that our exposure to petroleum and natural gas pipelines and facilities, high-voltage electrical transmission, wireless infrastructure construction and construction of power generation sources should continue to be excellent sources of growth and opportunity for MasTec for years to come. Now I would like to cover some industry specifics. Our communications revenue was $374 million, an increase of 8% over last year's first quarter. Our install-to-the-home business was up 24% for the first quarter of 2012 versus 2011. The increase was driven by both organic growth and our acquisition of Halsted last year. The integration of the Halsted acquisition is now complete, and there has been a dramatic improvement in both the financial and operational performance of the business. Wireless revenue was up 14% for the quarter. This now marks the fifth consecutive double-digit growth for this market. The growth is being driven by the expansion of broadband and Internet in rural markets. Our wireless business, as expected, was down 14% in the first quarter of 2012 versus 2011 as we got off to a slower start with our largest customer in 2012. With that said, we now have excellent visibility into our full year plan, and we continue to pursue a number of opportunities to expand and diversify our customer base in our wireless business. We believe that this market will afford us strong long-term growth prospects as data continues to play a larger role in wireless devices and as 4G continues to be rolled out throughout the world. Our utility revenue was up 49% for the first quarter of 2012 versus 2011. The growth was driven by our transmission and renewable work. Revenues in our transmission business more than tripled in the first quarter of 2012 versus 2011. The increase was driven by the acquisition of EC Source and strong organic growth. Bidding activity for transmission projects remained strong, and we are optimistic about our ability to grow in this market. Moving to Renewables. Revenues for the quarter more than doubled those of last year. While 2011 was a tough year for us in Renewables, 2012 is shaping up to be a great year. Our bookings in the wind market are at record levels, and we expect to construct and deliver over 1,500 megawatts in 2012. With the expiration of the 1603 grants at the end of 2011 this year is expected to be one of the best years the industry has seen. As we look forward beyond 2012, we are encouraged by the level of activity associated with extensions for wind-related tax credits and are optimistic that a legislative agreement will be reached. In any case, we are taking a more macro view of our renewable business and expanding our power-generation capabilities. We are focused in participating in the construction of power-generating assets, whether they are wind, solar or thermal related. The solar market will be an area of solid growth for us this year as we were awarded a number of projects in late 2011 and early 2012. The solar market enjoys tax credits that extend through 2016, and we expect this to be -- this market to be an increasing part of our business. Over the last year, we have also spoken about our desire and investment in growing our power thermal business. On our last call, we announced that we had been awarded the construction of 2 natural gas peaker plants. These are important projects in the evolution of our power business and hopefully the first of many. Based on our currently contracted work in this business, we expect 2012 to be a great year and revenues to more than double those of 2011. Shifting to our pipeline business. Revenues were up 7% in the first quarter of 2012 versus 2011. I'd like to note that in the first quarter of 2011, the Ruby pipeline represented about $122 million of revenue, so this quarter represented a tough comp for us. The industry also had challenges in late fourth quarter and early first quarter in absorbing the excess labor associated with the delay in the Keystone XL project. This situation, however, has subsequently improved. Bidding activity has been extremely active, and we've had a lot of success both during the quarter and since the end of the quarter. We have now been awarded over 900 miles of pipeline construction since the beginning of the year, and our backlog and visibility is excellent. I would now like to comment on guidance for 2012. We expect second quarter revenues of $900 million. This compares to $751 million in last year's second quarter or 20% year-over-year growth. We expect $80 million of EBITDA, net income of $30.1 million and $0.35 of EPS. Bob will cover margins later. For the year, we are increasing our revenue guidance to $3,350,000,000 and keeping our EBITDA guidance of $325 million and net income guidance at $122 million. As we've previously discussed, we have a goal of achieving double-digit margins this year. While we’ll strive to hit it, we are experiencing significant growth in our renewable business, but the EBITDA margins on the Renewable projects is in the high-single digits and is slightly dragging down company margins. To recap, we're off to a good start. We've got strong backlog to support what we believe will be another record year of revenues and earnings. We expect strong cash generation in 2012, and I firmly believe that we have never been in a better position to take advantage of the opportunities our different markets are affording us. I expect to have a great year. Before I finish, I'd also like to highlight that next Friday night, on May 11, MasTec will be featured on the CBS show, Undercover Boss. I think it will be a great opportunity to learn more about the company and get a better appreciation for what we do. I'd now like to turn the call over to our CFO, Bob Campbell. Bob?
C. Robert Campbell: Thank you, Jose, and good morning. Today, I'm going to cover our first quarter financial results, second quarter guidance and 2012 full year guidance. And I'll also cover cash flow liquidity and our capital structure. Before I get into details, let me give you a quick overview. Revenue increased 26% over last year, led by growth in electrical transmission and renewables in industrial construction. Q1 earnings net income of $14 million, EBITDA of $53 million and $0.17 per diluted share were at the upper end of our guidance. Cash flow from operations was solid at $43 million. Our liquidity at quarter end was $497 million compared to $269 million a year ago. We calculate liquidity as unrestricted cash plus availability from our bank credit facility. But Q1 earnings were down versus last year, primarily due to a tough comp from last year's Q1 when the Ruby pipeline project was going full bore versus low utilization in pipeline and wireless this quarter. We are increasing full year 2012 revenue guidance to $3,350,000,000 and reaffirming guidance of $122 million of net income, $325 million in full year EBITDA and $1.42 of fully diluted earnings per share. Now let me get into the details of our results. Q1 revenue was $778 million, up 26% versus last year. The growth was led by our electrical transmission work, which was up 212% or more than triple last year. The increase came primarily from EC Source, the big project-oriented transmission acquisition that we made last year in the second quarter, and we also had solid growth in our legacy transmission business. Renewables and industrial construction work was up 168%, driven by very strong revenue in wind and a rapidly growing solar business. Construction of the 2 natural gas power plant projects that we have been awarded does not start until this summer, and that work will be done by our renewables and industrial construction team. Our install-to-the-home business, which is primarily DIRECTV, was up 24%. The majority of the growth came from the new territory in the northeast that we acquired last July in the Halsted acquisition. However, our organic growth for our existing DIRECTV installation and service business was 13%. Wireline was up 14%, primarily due to ongoing broadband stimulus work. Wireless was down 14% year-over-year in Q1, mostly as a result of delays in getting and starting our largest customer’s 2012 build plan. Pipeline in total in Q1 was up 7% year-over-year, but the growth came from our Fabcor acquisition in Canada. The rest of our pipeline business was down solidly versus a big Q1 last year with the Ruby pipeline project. Regarding Q1 earnings comparisons, the drop in earnings year-over-year was mostly reflected in cost of revenue, which was 240 basis points worse than last year, and somewhat higher depreciation and amortization, which was 30 basis points worse than last year. Note that the cost of revenue excludes depreciation and amortization. G&A expense and interest expense as a percent of revenue both improved slightly. The cost of revenue increase was primarily in pipeline and wireless. Pipeline was generally underutilized in Q1 with lower revenue in our legacy pipeline businesses, and we had the tough Ruby comps from last year, and we also had some 0 margin work on a couple of Marcellus jobs where we had wet terrain problems last year. We booked losses on the 2 Marcellus wet terrain jobs last year, and we are now booking only revenue on those jobs as we continue to work on them, but we are not booking any margin dollars on them. These jobs should be substantially completed by the end of the second quarter. In Wireless, January and February were light in revenue, but then March was solid as we started ramping up for the year. We now have our AT&T build plan for the year and expect solid growth from wireless on a full year basis. However, our Q1 AT&T revenue was down 14% year-over-year, which did result in underutilization and margin challenges for the quarter. For your information, regarding pipeline and wireless, our outlook is unchanged from when we gave our initial 2012 earnings guidance. We expected a soft Q1 in those 2 markets, but we expected and continue to expect good full year revenue and earnings performance from each. I'll talk further about guidance a little later. Q1 EBITDA was $53 million compared to $58 million last year. Q1 net income was $14 million compared to $21 million last year. Q1 fully diluted earnings per share was $0.17. Q1 EBITDA margin was 6.9% for the quarter, which was well below last year's 9.3%. EBITDA margin was hurt by the pipeline and wireless margin issues that I mentioned in my cost of revenue comments. And the year-over-year comparison was compounded by the tough margin comps from the Ruby pipeline project, which was going full bore a year ago. I'll provide an EBITDA margin bridge to 2012 a little later. For the first quarter of 2012, the 10 largest customers were: DIRECTV was 23% of total revenue and up 24% over last year. AT&T was 18% of total revenue and down 14% from last year. Duke Energy was 7% of total revenue. They're a wind farm customer. MidAmerican energy was 5%. Included in that number is our big electrical transmission project in Utah, handled by EC Source and wind farm work handled by Wanzek Construction. Dominion Virginia Power and Talisman were both 4% of revenue. Both are shale pipeline customers. EQT was 3%. That's another shale pipeline customer. And finally, TexStar Midstream, Penn West Petroleum and Spectra Energy were at 2% of revenue. TexStar and Penn West are both shale pipeline customers, and Spectra is a natural gas facilities customers. Regarding diversification, our top 10 customers in Q1 include: 1 telecom customer, 1 satellite television customer, 6 oil and gas customers, 1 wind farm customer and 1 electrical transmission and also wind farm customer. Our revenue mix is split between onetime non-recurring construction projects and what we call master service agreements and other similar contracts for generally recurring services and, therefore, recurring revenue. For Q1, 54% of our revenue came from master service agreements or similar contracts, and 46% came from onetime non-recurring construction projects. What we call master service agreements and similar contracts are briefly as follows. Generally, these contracts are for multiple years, often 3 to 5 years, and generally, they are exclusive for a certain geography or territory. Most of these contracts have some kind of price escalation language or some other price adjustment mechanism. Although these contracts do not contain revenue guarantees and they do allow cancellation under certain circumstances, in reality, the revenue from these contracts is pretty predictable. These contracts generally go full term and are not canceled, and our renewal rate is extremely high. I just wanted to highlight that even though we -- our onetime non-recurring project revenue is growing nicely, we do enjoy a large and stable revenue base from these master service agreements and similar contracts. At quarter end, our backlog was $3.3 billion. As always, I'm giving you an 18-month backlog number. The comparable number at year-end 2010 was $2.4 billion and $3.3 billion at the end of 2011. Our backlog includes an estimate of the next 18 months of revenue from master service agreements and other similar contracts. The large pipeline awards that Jose talked about were not signed as of March 31, so they are not included in our Q1 backlog number. Now let me talk about cash flow, liquidity and our balance sheet. As I mentioned, in Q1, we had $43 million of cash flow from operations. As a result, we were able to reduce our bank revolver usage from $60 million at year end to $31 million at the end of Q1. We have made progress on project closeouts and billing with AT&T wireless, and we expect to make additional progress over the rest of the year. Q2 cash flow will reflect some of our normal seasonal ramp-up in accounts receivable as revenue builds. On the other hand, we currently expect a second quarter sale of DirectStar, our DIRECTV retail sales business, with after-tax cash proceeds of $90-some million. Full year DirectStar revenue in 2011 was $148 million. Our accounts receivable day sales outstanding or DSOs went up dramatically in 2011 due to issues in our wireless business and also in project mix, but we're beginning to see DSO levels subside. We closed 2011 at a too high 79 days, and that includes our unbilled revenue. Our accounts receivable DSO at quarter end was 78 days, and we currently expect further improvement during the year. Regarding capital spending, we spent $14 million for Q1 compared to $15 million in Q1 last year. Our current forecast for 2012 CapEx is $65 million, down slightly from 2011. Now let me talk for a moment about our capital structure. As a quick capital structure summary, at quarter end, we had $829 million in equity, $461 million of total debt, only $441 million in net debt, that's net of cash, and we expect to have $325 million of 2012 EBITDA. Therefore, all of our balance sheet and credit ratios are in very good shape. In recognition of improved earnings, capital structure and business outlook, we recently earned a one-notch corporate credit rating upgrade to BB from Standard & Poor's. I'd like to note 3 things about our capital structure. First, we have no significant debt maturities until '14, '16 and '17. And second, all of our debt has attractive interest rates and terms. And third, we have a tremendous availability from our new $600 million, mostly unused bank credit facility. Availability from our new bank credit facility at quarter end was $477 million. We are increasing our 2012 full year revenue guidance to $3,350,000,000. Full year 2012 net income guidance of $122 million, and EBITDA guidance of $325 million remains unchanged. And also unchanged is our fully diluted full year EPS guidance of $1.42. The 2012 revenue projection represents an 11% increase over $3 billion for 2011. And the guidance revenue increase includes the negative impact of the likely second quarter sale of DirectStar. DirectStar had a $148 million in revenue last year. Our 2012 EBITDA projection of $325 million is a 25% increase over adjusted EBITDA of $261 million last year. The 2012 EBITDA margin implicit in our guidance is 9.7%, which compares to 8.7% last year. And I'll discuss margins in more detail in a minute. And EPS of $1.42 is a 33% increase over $1.07 of adjusted EPS last year. In making earnings comparisons to 2011 results, we have adjusted on a pro forma basis the result of 2 material items that we discussed on the year-end earnings call. First, we have backed out the second quarter $29 million pretax remeasurement gain related to our purchase of 100% of EC Source, our big project electrical transmission company. And second, we have backed out the fourth quarter $6 million pretax expense for the withdrawal liability related to our leaving the underfunded Teamsters Central States Pension Plan. The net impact of these 2 pro forma adjustments is a $0.16 per diluted share negative impact on 2011 full year results. The full details of these 2 pro forma adjustments to 2011 financial results are included in yesterday's press release and also in our SEC filings. Our 2012 full year guidance assumes a tax rate of about 39.8% and cash taxes of about 90% of booked taxes. Acquisition amortization expense is estimated at about $12 million for 2012, down from $14 million last year. Our estimate for full year share count for fully diluted EPS is about 86 million shares. Remember that our share count for EPS purposes can fluctuate up and down with our stock price because of the accounting for our convertible notes. There is information about share count for EPS purposes in Footnote 2 in our 10-Q. My final comment about our 2012 full year guidance is about margins. The EBITDA margin implicit in our guidance is 9.7%, a 100-point basis point improvement over the 2011 adjusted EBITDA. Now let me bridge from the 8.7% adjusted EBITDA margin in 2011 to the 9.7% expected in 2012. I talked about certain items on last quarter's call, but they are worth repeating. I want to reiterate the 5 major reasons that give us comfort that we can improve to 9.7% margins in 2012. First, we believe that the wireless productivity and margin issues in the third and fourth quarters of '11 were mostly contained and corrected in 2011. Second, the pipeline Marcellus shale wet terrain profit issues on several projects were mostly dealt with financially last year, although there will be some margin drag during the first half of this year. Third, the Halsted DIRECTV acquisition that we made in 2011 was a fixer-upper that contributed modest margin in 2011. However, we are making good progress improving that business. In fact, we are well ahead of schedule there. Instead of roughly $60 million in revenue with modest margin in 2011, we should have a full year of about $110 million in revenue at better margins. Fourth, our renewables business is expected to more than double in 2012, and the majority of the incremental gross profit should flow through to the bottom line. And finally, we expect that our electrical transmission revenue will grow this year with good margins. Now let me give you our Q2 guidance numbers. We currently project Q2 revenue of $90 million compared to $751 million last year. That's an increase of 20%. We currently project Q2 EBITDA of $80 million compared to $71 million of adjusted EBITDA last year. We currently project Q2 net income of $30 million compared to $27 million of adjusted net income last year. And we currently expect Q2 fully diluted EPS of $0.35 compared to adjusted EPS of $0.31 last year. The adjusted $0.31 per share for Q2 last year is without the $0.20 per share gain related to our acquisition of the 67% of EC Source that we did not already own. 2012 is shaping up as a more normal year regarding seasonality. We normally have a soft Q1 in that our earnings start to build in Q2, and that's how we see 2012. Last year's Q1 was a little bit of an aberration with strong Ruby pipeline profitability. In summary, we currently expect 2012 to be a good year for MasTec with record revenue, net income, EBITDA and EPS. And we also expect improved margins and cash flow. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] I'll go first to Andy Kaplowitz from Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Jose, you sound more confident about your pipeline business. Obviously, you’ve talked about more awards after the quarter ended, but what are you seeing in that business? And you've talked about sort of flatfish for the year versus last year. Could there be upside to that? Are you still feeling confident about flattish? Maybe talk a little more about your pipeline business.
Jose Ramon Mas: Well, last year, the first half of the year really had a lot of Ruby pipeline build into it, so it was a significant part of our first 6-month revenue stream in our pipeline business. So we went into 2012 somewhat cautious because, obviously, that was a big shoes to fill. We knew we had some of the Marcellus work, a couple of projects that were dragging into the first 6 months of the year where we knew we were going to have some margin hit on that. And to be honest, I think the first 4 or 5 months have been a lot better than what we expected from a project-award perspective. The industry has been very active. Second half of last year, the Keystone project gets delayed, which obviously created a lot of issues within the industry as people were trying to reallocate resources, and that had impacts in the competitiveness and pricing of the business, but a lot of that subsided. There's a lot of work out there. We think pricing is good. And we've probably done a little bit in -- a little bit better than we would have expected at this time, and to the extent that we can keep winning and there's more projects out there then -- and then we'll get more and more bullish as the year goes on.
Andy Kaplowitz - Barclays Capital, Research Division: Jose, are these in shale basins? Or are they outside of the shale basins?
Jose Ramon Mas: Both. I mean, most of our work is still in the shale basins. It's predominantly what we're doing today, although there are some projects that are now outside of the shale basins that we've been awarded. So it's a combination. It's a lot of -- some oil, a lot of gas, some liquids, so it's a nice diversity of both the type of pipelines we're building and the geographies where we're building them.
Andy Kaplowitz - Barclays Capital, Research Division: Okay. And then if I could just shift gears to wireless. The confidence around the plan for this year, how much does it have to do with diversification? I mean, how much work can you get outside of AT&T? Or is that sort of focused on '13 and '14 to go outside of AT&T?
Jose Ramon Mas: I think we're focused on it every day. I think we've made a lot of inroads and have been able to grow a little bit outside of AT&T. The problem and the challenge that we've had over the course of the last 2 years is AT&T's continued to grow at a very rapid rate. And it's really taking a lot of our resources, a lot of our time and effort in terms of meeting their demands and meeting their build plans and doing a great job for them. And we've talked about the issues that we had last year and just meeting what we thought was a very accelerated plan. We did it. We're in a great position with them. When we talk about our wireless business for 2012, again, we're very confident because we know what we have in hand. And we're not making a lot of assumptions for additional work that we're going to have to win to hit the kind of numbers that we're talking about. With that said, we're still trying to do that, and we're still trying to grow our customers. There's a lot of work out there. There's new customers coming on line. There's new opportunities. And I think we're really well positioned for it, but we're just not counting on it.
Operator: We'll go next to Alex Rygiel from FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Jose, how many miles of pipeline did you build in 2011? And what is the corresponding revenue associated with the 900 miles that you have been awarded year to date?
Jose Ramon Mas: So last year, we probably built less mileage because Ruby was -- while it was a large project and, from a dollar perspective, it was a very big project, the reality is that it was a very expensive project on a cost-per-mile basis because of the type of project that it was. So we're going to have to build more miles this year to hit the kind of numbers that we expect to hit in our pipeline business. We’ve talked last year about it being roughly a $750 million to $800 million business. We’ve said we expect the business to be flattish. We're probably pretty much there with the backlog that we have in place, so to the extent that we continue to win more work, that number should increase. And I think that's how you should be thinking about the 900 miles.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: That's great. And then...
Jose Ramon Mas: By the way, all 900 -- let me just clarify. All 900 are not solely for 2012. Some of that does roll into 2013.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Perfect. And to follow up on earlier wireless question. It appears that your revenue from international operations was about $63 million in the first quarter. That compares to only $2 million last year, Fabcor accounting for a good portion of it. But there's a pretty significant portion incoming from other activities that I suspect are organic in nature. Can you explain those?
Jose Ramon Mas: Sure. We've talked about the last 1.5 years or so, our interest in looking at opportunities that are presented to us. We started a very small operation in Panama that's been building. We're doing a couple of different types of our work functions there. There's a lot of opportunity there, a lot of growth happening there. We talked about the growth of our wireless business in Mexico and, really, the other opportunities that exist there with renewables and transmission and pipelines. So we're -- we still consider ourselves to be a domestic-based company for the most part, but there are some really nice international opportunities where we can take our expertise. When you look at wireless, I think that the U.S. is viewed as a leader in 4G, where we weren't necessarily viewed as a world leader in 3G, and I think that's going to open up opportunities for companies like MasTec to help other carriers around the world expand and install their 4G systems. And that's an opportunity we can't lose sight of because it's going to be a huge program across the world, not just in the U.S., and we're focused on it. And currently, we're focused on it in Mexico. So I think that, that will grow -- continue to grow as the year goes on. We've got some good relationships down there. There's obviously some very large international carriers that are bigger than the U.S. carriers. So the scale of work available to us is very large, and we expect to get a portion of it.
Operator: We'll go next to Peter Chang from Crédit Suisse.
Peter Chang - Crédit Suisse AG, Research Division: My first question is on the guidance. Given the $100 million increase in the sales guide, why no corresponding increase in EBITDA or net income? And did the good weather in the first quarter help you finish more of that pipeline work that was coming at 0 margin? Is that why revenues came in at such a high amount?
Jose Ramon Mas: So I'll start with the latter question first. No, it didn't. We still started the pipelines when we expected to start them. There was still actually a lot of rain in the Marcellus area. So while weather was generally good across the country from a snow and a cold perspective, there were still -- it wasn't that -- again, we were expecting the Marcellus area to freeze over. It really didn't. And with the rain and water, we just kind of stuck to the plan that we had laid out late last year. So about half of the work that we had associated with that was done in Q1, and the other half will be done in Q2. When we look at the full year plan and we look at the $100 million of revenue, a couple of things, I think, a, the renewable business is probably going to grow at a little bit faster than we expected. And that business, while it’s a good business, there's less risk, there's a little bit more material that flows through that business, so that business tends to be slightly lower on EBITDA margins than some of our other businesses from a potential perspective. So I think we're being cautious as we look at the balance of the year, where the revenues are coming from. We've got north of $100 million of revenues that are coming from the Marcellus projects at margins less than what we had anticipated and expected, that we've been talking about for the last 6 months, so that's kind of built in there as well. And at the end of the year, we had a big increase planned for 2012. And as I said in my remarks, our intent is to -- we're striving for it. We hope to hit it this year, but we're just -- we're being cautious and don't feel we need to put that in guidance today.
Operator: We'll go next to Tahira Afzal from KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: My first question is really in regards to, Jose, what you talked about in your prepared commentary on the power generation side. Some of your larger bearers have probably become incrementally a little positive, I think, going to next year on the natural gas side. Clearly, you've started to build your presence there with the peaker award. So I guess as you look into the line of your prospects for this year and into next year, do you feel that’s sufficient to replace wind if wind credits are not extended? And of course, that's hypothetical, but we'd love to hear your qualitative commentary around the power side.
Jose Ramon Mas: So the answer is yes. It's not an easy answer, and it's not an answer that happens overnight. So this isn't that we woke up last week, saw natural gas prices where they were at and said, "This seems like a great business to be in." We've been really -- working really hard over the last 1.5 years to build the presence in that market to position ourselves for what we think is going to be a very aggressive cycle of new natural gas-fired generation. So it's not that -- this has been something we've been working on for a long time. We spent a lot of money over the last few years in terms of hiring the right people and positioning ourselves. I think it culminated with our first awards specifically related to that, which is really important. But we've looked at our renewable business, and we've said, "Okay. The renewables are going to be somewhat cyclical. It's going to be somewhat dependent on legislation and tax policy." So how do we position our business the best way possible to take advantage of the growth in the overall industry? And the way we've done is we’ve said, "Okay, we're just not a wind contractor. We're not just a solar contractor. But we're going to be a contractor for generation sources of power." And we're going to need to be nimble. We're going to be able -- need to be able to move fast and participate in any area where we think there's going to be enhanced activity. It happens to be that wind is having a great year because of tax policy. And I think that there's no question in my mind that wind will fall off somewhat in 2013. To what level, I don't think anybody knows, because I do believe there will be an extension of the PTC tax credits at some point. And there will be wind in 2013, albeit we don't know the amount. So we've got to build our '13 business. And we've got to take into account where we think solar is going to be a huge growth market for us in '13. We think power generation is going to be a big market for us in '13, and obviously, what we're striving and our goal is to have a business that, irrespective of what happens with wind, as we look at our power generation business in '13, it can have growth over 2012. And that's what we're driving to do.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Great. My follow-up question is on the electric transmission side. Clearly, you saw a marked improvement in the first quarter. So did your bearers. Could you talk a bit about EC Source and how, over the last year, they have built capacity on equipment and labor side to really take advantage of this market as it heats up?
Jose Ramon Mas: I think we've done everything as planned. So everything we expected to do with the business, we’re right on track. We continue to build our equipment assets and our resources. We're participating in discussions on a lot of different projects, so we're excited about our competitive position in the landscape. And again, we think it's going to be a big growth market for us.
Operator: We'll go next to William Bremer from Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: I'd like to go to into the 900 miles a little bit more. Can you give us sort of a breakdown of gas versus liquids there? And then maybe break it down a little further versus, say, long haul versus shale work.
Jose Ramon Mas: Again, I'd say, it's predominantly shale. There's a portion that's long haul, but it's predominantly shale. And I'd say it's probably close to -- from a mileage perspective, 60-40, gas to liquids.
William D. Bremer - Maxim Group LLC, Research Division: Okay, great. And then, can you give us an idea of the pricing of what you're currently seeing right now and as well as your capacity at this point, given the 900 miles?
Jose Ramon Mas: I think pricing was an issue late last year. Again, when the Keystone project got delayed, I think it made a lot of resources available, and there was a lot of competition for the projects that were out at that time, which is one of the reasons that -- the flip side of it was there was a lot of work, so there's been a lot of available work for people to put those resources to work. I think a lot of that's gotten through. I think, in general, the industry is a lot busier right now than it's been in a long time. And I think that, that will -- I think it's already translated into pricing and will continue to translate into pricing. And there's a lot of work out there, so it's -- we've been saying it for a long time: It's a very healthy market. It's a market that we think is going to get healthier. When we look at out at what's coming for the balance of this year and '13 and '14, it's looks like it's going to get even healthier. So we love the position that we're in. We love the competitive landscape as it sits, and we think we're going to do very well. We're busy. We can always do more, but we're busy. We've got a lot of our assets tied up, and we look forward to continuing to grow that business.
William D. Bremer - Maxim Group LLC, Research Division: And my last one, can you just give us an update on the stock buyback plan at this time?
Jose Ramon Mas: We talked about it at the end of last year. We did the first $75 million tranche. Since then, we have not done a -- we were approved -- our board approved a second tranche of $75 million, which we haven't used. Again, just in retrospect, we've been in a dark period here for a while as the quarter ended and the year ended and the quarter ended and we hadn't released results. So we really didn't have a lot of trading days available to us in the first quarter.
Operator: We'll go next to Liam Burke from Janney Montgomery Scott LLC.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Outside of your wireless, in the telecom space, how does that business look for the balance of 2012?
Jose Ramon Mas: It looks good. In the prepared remarks, we talked about that business growing double digits for 5 consecutive quarters. I expect that trend to continue. There's a lot of work associated with not only the rural spend, and that's been very active, but we're big believers in fiber to cell sites, and we think that there's just going to be more and more fiber installed to cell sites based on the traffic that exists. So we think it's a healthy business. As stimulus begins to roll off, we're hoping that new housing recovers, which is probably, I think, the biggest upside opportunity in that business in the next few years. I think it had a huge negative impact on that business in the late -- in the '08, '09 timeframe when the housing market was really deteriorating. It has not come back, and when it does, it's going to have a big impact on that business, which will hopefully offset any slowdown that the stimulus might have as it rolls off in the next couple of years.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Okay. And then on the -- you've talked a lot about transmission. Is your distribution business hanging in there? Or is it still choppy with the housing?
Jose Ramon Mas: For us, it's stabilized back 1.5 years ago or so. And it's been stable. I wouldn't say that it’s really been growing at any big clips, or it hasn't been deteriorating. So it's been a stable business, and again, I think it's a business that will dramatically improve as housing improves.
Operator: We'll go next to Theodore O'Neil from Wunderlich Securities.
Theodore R. O'Neil - Wunderlich Securities Inc., Research Division: I appreciate the detailed explanation on the margins in the quarter, talking about underutilization at the AT&T side and the pipeline side and the 0-margin work on the Marcellus. And following up on that, I was wondering if you could just talk about the dynamics of why the renewable business would have single-digit margins and those margins would be lower than the corporate average.
Jose Ramon Mas: Well, I think some it has to do with materials. It depends on the job. There's a lot of different ways in which you can build a wind farm. And there’s wind farms in which you've got a lot more material procurement than others. And in those where you have more material procurement, you obviously have more revenue, but you have lower margins because some of it's just pure pass-through. And I think that impacts that business in a greater way than the rest of our businesses, which slightly impacts margins.
Theodore R. O'Neil - Wunderlich Securities Inc., Research Division: And you're talking about concrete essentially there?
Jose Ramon Mas: Well, a lot of the substation work. A lot of the equipment that goes into substation work, a lot of the electrical cables, they tend to allow you -- and, again, it depends on the customer and the project, but you tend to buy more materials on those projects than you typically would on others.
Operator: We'll go next to Noelle Dilts from Stifel, Nicolaus.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: First of all, I just wanted to dig into the wireless business a little bit more. And you said that your expectations for the year were relatively unchanged, so I think before you've talked about 10% growth. Is that still what you're expecting? And then can you talk a little bit about your expectations for profitability for the year? Do you think you’ll get back to a double-digit EBITDA margin in 2012?
Jose Ramon Mas: So a couple of things, on full year margins, obviously, if you take in -- we obviously completed the first quarter. We've given guidance for Q2, and you've got full year guidance, so can see what happens to the margins in the back end of the year. So we are expecting to achieve double-digit margins for sure in the back end of the year, and the question for us is can we achieve it for the full year. And again, it's something that we're going to strive for. It's something that we hope to accomplish but one that we're not necessarily ready to sign up for today. As it relates to wireless, again, it's a business where we've always felt that we have very good visibility into the future work. We have very good visibility into the first quarter. We knew it was going to be somewhat slow based on everything that happened with the AT&T and T-Mobile acquisition late last year. So we feel good about what we’ve projected for the year and where we expect to be.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And you're starting to see kind of an acceleration of wireless awards and work releases at this point? Or you're kind of expecting that to ramp up if you...
Jose Ramon Mas: We had a big ramp during the first quarter, so the end of the first quarter was dramatically better than the beginning of first quarter for us in that business.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then some of the issues you had with in-sourcing some of the businesses that were previously outsourced, you said you think you’ve mostly isolated that as of the end of last year. So I just wanted to make sure most of these -- the possibility issues maybe in wireless in the first quarter were primarily related just to lower volumes. Is that fair?
Jose Ramon Mas: That's correct. So we -- all of our internal issues were corrected and behind us in 2011. And the margin issues in 2012 have nothing to do with that but rather obviously just the fact that you have lower revenues and some utilization issues. But we expect that to -- as the quarter went on, that got better, and we expect that to continue.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then on the pipeline business. In this quarter, can you just talk about activity levels and kind of each of your major shale fields? And then can you just quantify the amount of 0-margin work that you were doing related to those 2 big projects in the first quarter? I mean, it sounds like you're expecting a relatively similar amount in the second quarter.
Jose Ramon Mas: So all of our shales are extremely active. There is no shale that I would say -- I wouldn't actually try to differentiate them. There's a lot of activity on all shales, and so very, very robust market across the board. When we look at Q1 and Q2, we'll have just over $100 million in challenge projects that we're carrying into 2012 from the Marcellus projects that we've talked about, and it's slightly equal in Q1 and Q2, the amount of revenue that's going get generated on those projects.
Operator: We'll go next to Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Jose, how do we think about the transmission business after Utah? When did Utah finish up? And how do you plan to manage that transition to the next project?
Jose Ramon Mas: So, a, our business is not a Utah business, right? We've got a lot of transmission work with a lot of customers across a lot of different geographies, and I think we've demonstrated our ability to grow not only the EC Source business, but the business -- our organic and legacy businesses. There are number of projects that we've been working on for a long time, and we've been pretty vocal about our desire not to want to get into specific conversations on specific projects, but we feel very good about where we are positioned in that industry and what will it be accomplished there.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: When does Utah finish up?
Jose Ramon Mas: I think our contract goes through mid-2013.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And then, can you just update us -- the generator contract from AT&T, how you see revenue flowing from that over the next couple of years?
Jose Ramon Mas: We've talked about it being a project that's been somewhat delayed. I wouldn't say it's the highest priority that AT&T has. AT&T has a lot of priorities that they need to focus on. They've got a lot of issues this year, again, a lot of them related to T-Mobile and what happened there and what's happening with CapEx related to the breakup fee. So we've talked about the generator project being something that we hope we see more activity for in Q4 and going into '13. But I'd say, we don't have great visibility into that today.
Operator: This does conclude our question-and-answer portion. At this time, I would like to turn the call back over to Jose Mas for any closing comments.
Jose Ramon Mas: Again, I'd like to thank everybody for participating, and we look forward to updating you on our next call. Thank you.
Operator: That does conclude today's conference. We do appreciate your participation.